Operator: Greetings. And welcome to the First Quarter 2021 Conference Call for Old Dominion Freight Line. Today's call is being recorded and will be available for replay beginning today and through April 30, 2021 by dialing 719-457-0820. The replay passcode is 7623805. The replay of the webcast may also be accessed for 30 days at the company's website. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding Old Dominion's expected financial and operating performance. For this purpose, any statements made during this call that are not statements of historical fact maybe deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by the important factors, among others that are set forth in Old Dominion's filings with the Securities and Exchange Commission and in this morning's news release. And consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to publicly update any forward-looking statements whether as a result of new information, future events or otherwise. As a final note, before we begin today, we welcome your questions. But we ask in fairness to all that you limit yourself to just a couple of questions at a time before returning to the queue. Thank you for your cooperation. At this time for opening remarks, I would like to turn the conference over to the company's President and Chief Executive Officer, Mr. Greg Gantt. Please go ahead, sir.
Greg Gantt: Good morning. And welcome to our first quarter conference call. With me on the call today is Adam Satterfield, our CFO. After some brief remarks, we will be glad to take your questions. We are pleased to report a great start to 2021 for Old Dominion. Our financial results were highlighted by new first quarter records for revenue, operating ratio and earnings per diluted share. The operating momentum that began in the second half of 2020 continued through the quarter and we also benefited from and improving domestic economy. Our revenue increase to $1.1 billion as a result, which is the highest level of quarterly revenue we have ever achieved. 14.1% revenue growth rate was also our highest since the fourth quarter of 2018. After essentially going through two flattish years in 2019 and 2020, our revenue was relatively flat over the past two years, and that was an unusually long period for us to go without growth. We maintained our commitment to our long term strategic plan and invested during those times for our future. Our first quarter financial results validate the benefits of this long term strategy. Our strategic plan has worked throughout many economic cycles. We generally see our largest increases in market share when the domestic economy is strong, and industry capacity is generally limited. This is the environment in which we are now operating. We have also recently received encouraging feedback from many of our customers regarding the ongoing recovery of this business, of these business levels and their increased demand for our services. As a result, we expect to see a continued acceleration in our market share trends as we progress through this year. Our focus is never to simply increase market share and revenues. Our objective is to win market share in a way that can produce profitable revenue growth. We achieve this goal in the first quarter, as our ability to deliver best-in-class service at a fair price contributed to the increase in our volumes, resulting improvement in density, as well as an increase in yield that exceeded cost inflation led to the 76.1% operating ratio for the quarter and 53% increase in earnings per diluted share. The favorable operating environment and improving trends we intend to invest significantly in all elements of capacity this year to support our revenue growth initiatives. This starts with our OD family of employees, which already grew by over 1000 new full time employees during the first quarter. We intend to hire additional employees this year to further increase the capacity of our workforce. In addition, we all support our team's ability to deliver superior service by investing approximately $605 million in capital expenditures during 2021. This total includes new tractors and trailers, as well as an expansion of our service center network that could include an additional four to six service centers. We will also continue to invest in new technologies that are designed to improve customer service and increase the efficiency of our operation. OD team will be diligent in managing productivity, cost and capacity this year to maximize our ability to produce profitable growth in 2021. This diligence, however, will not affect our focus on the long term opportunities for our business. We believe we are the best position company in the LTL industry to win market share in both the current environment and over the long term. This provides us with confidence that the continued execution of our strategic plan, combined with our financial strength and available network capacity, can produce additional growth in earnings and increased shareholder value. Thank you for joining us this morning. And now, Adam will discuss our first quarter financial results in greater detail.
Adam Satterfield: Thank you, Greg, and good morning. Old Dominion's revenue for the first quarter of 2021 was $1.1 billion, which was a 14.1% increase from the prior year despite having one less work day. Our operating ratio improved 530 basis points to 76.1% and earnings per diluted share increase to $1.70. Our per day revenue growth of 15.9% included a nice mix of increases in both our LTL tons and yield. LTL tons per day increased 10%, while our LTL revenue per hundredweight increased 5.6%. We are winning market share as demand for our industry leading service has increased while the domestic economy is improving. In addition to our service advantage that includes 99% on time performance and a cargo claims ratio of 0.1%, our proven strategy of investing and service center capacity ahead of anticipated growth has also provided us with a capacity advantage in the marketplace. This strategy is different for many of our competitors, as we believe the average number of service centers operated by the other large LTL carriers has decreased over the past 10 years. We currently have approximately 25% excess capacity within our service center network, which is in line with our long term targets and we plan to further expand our network this year to stay ahead of our growth. Our plan is to ensure that our network is never a limiting factor to growth. On a sequential basis, revenue per day for the first quarter increase 3.3% as compared to the fourth quarter of 2020 with LTL tons per day increasing 0.7% and LTL shipments per day increasing 1.5%. These were all above our normal sequential trends, which typically declined from the fourth quarter. The monthly sequential changes in LTL tons per day during the first quarter were as follows; January increased 0.3% as compared with December, February decreased 4.4% versus January, and March increased 10.7% as compared to February. The 10-year average change for the respective months are an increase of 1.2% in January, an increase of 2.2% in February, and an increase of 5.1% in March. While there are still many workdays that remain in April, our revenue performance has remained strong. Our month to-date revenue per day has increased by approximately 45% to 50% when compared to April of 2020. As a reminder, our revenue decreased 19.3% in April 2020, due to the significant impact of the COVID related shutdowns. We will provide the actual revenue related details for April in our first quarter form 10-Q. Our first quarter operating ratio improved to 76.1% with improvements in both our direct operating cost and overhead cost as a percent of revenue. We have said many times before that the long term improvement or operating ratio requires an improvement in density and yield, both of which are generally supported by a favorable macro economic environment. The strength of our first quarter results reflect how important these factors are to our success. Our direct costs benefited from an improvement in our line-haul laden-load average and pick up delivery shipments per hour during the quarter. We lost a little productivity on the dock. But that is common when business levels accelerate and we add a significant number of new employees. While we would like to see our platform productivity improved, we believe it is more important for these employees to properly load our trailers to maximize employee safety in line-haul efficiency, while also protecting free from damage. As Greg mentioned, we will continue to add drivers and platform employees during the second quarter as our volume trends continue to accelerate. We will also continue to use purchase transportation to supplement our workforce until the capacity of our team can support our anticipated growth. We improved our overhead cost as a percent of revenue during the first quarter primarily by successfully leveraging a revenue growth. As expected and mentioned on our fourth quarter call, certain calls that were reduced in 2020 because of the pandemic have started to increase. While many of these calls such as travel and customer entertainment are not completely back to pre-pandemic levels. We expect that there will be sequential increases in aggregate overhead costs this year. We will maintain our disciplined approach to controlling discretionary spending however, and make every effort to minimize cost inflation and other areas. Old Dominion's cash flow from operations total $310.3 million for the first quarter and capital expenditures were $51 million. We currently anticipate our capital expenditures to be approximately $605 million this year, which includes $275 million for service center expansion projects. We utilize $309 million for our share repurchase program and paid $23.2 million in dividends during the first quarter. The total share repurchase amount includes $275 million attributable to an accelerated share repurchase agreement that was executed during the first quarter. Our first quarter shares outstanding reflects the initial delivery of shares under this Agreement, and a final calculation of total shares. repurchased will occur no later than the end of August of this year. Our effective tax rate for the first quarter of 2021 was 26.0% as compared to 26.3% in the first quarter of 2020. And we currently expect our annual effective tax rate to be 26.0% for the second quarter of 2021. This concludes our prepared remarks this morning. Operator, we would be happy to open the floor for questions at this time.
Operator: [Operator Instructions] We will take the first question. At this time it comes from Jack Atkins from Stevens. Please go ahead.
Jack Atkins: Great. Thank you. Good morning and congrats on a great quarter, guys.
Greg Gantt: Thanks, Jack.
Jack Atkins: So, so maybe if we can just start with April. And I know, the month isn't done yet. So -- and I know you want to hold off on the specific comments until the 10-Q comes out. But Adam, would it would it be possible to maybe kind of talk bigger picture around what you're seeing sequentially in April relative to March? The comparisons, both year-over-year and sequentially are just abnormal this year, because of what was happening last year, and obviously, how strong March was. Can you maybe talk about what you're seeing April versus March from a tonnage and shipment perspective relative to normal seasonality?
Adam Satterfield: And it's hard to get into the details of that on tonnage and shipments basis, because the trends have been a little more or unusual, if you will, and not following the same types of patterns in the sense of the way -- our weight per shipment has been trending intra month and so forth. We've been seeing some wider shipments earlier in the month, and then it just strengthens throughout and then gets heavy at the end. But nevertheless, our overall revenue, obviously 45% to 50% on a comparison basis with April suggests that we are seeing continued strength and acceleration in our business. We had incredibly strong performance in March, at tonnage per day, that was up 10.7% versus the normal 5.1% increase, that was the 10-year average. And then that followed the weakness that we saw in February. So probably, a little bit of recovery there, that helps support that number. And then just the way the math work. But I think that we're continuing to see revenue perform pretty much in line with what we'd expect from a sequential standpoint. As you mentioned, the year-over-year weights and shipments are going to look a little unusual. Whereas last year, we had such an increase in late March and through April, and the weight per shipment. So that certainly will throw things off a bit. But we'd look to see continued strong revenue performance, and whether that's coming through in tonnage, shipments and yield, I think it's really all of the above. They're all performing well, and contributing to excellent revenue quality, and obviously in the first quarter that's contributing to really strong profitable growth force.
Jack Atkins: Absolutely. Absolutely it is. So that's great to hear on the April trends. And then, I guess maybe a bigger picture question to follow up. We're hearing from a number of LTLs, both public and private, that they're highly capacity constrained, given what's happening in the broader market. And they're taking steps to actually limit the volume that they're taking in from their customers. And I would think that given the latent capacity that you guys have in your network, you mentioned 25% in your prepared comments, this is going to give you a chance to really demonstrate your value proposition, potentially, to new customers. So I guess, how are you thinking about balancing the approach between making sure you're handling the needs of your existing customer base that are surging volumes, but also perhaps using this opportunity in a capacity constrained environment to expand your customer base? How do you balance those two factors?
Greg Gantt: Jack, as you know, we've always talked about our ability to grow and outgrow our competitors when the market was strong, like it is today. So I think we're definitely seeing the evidence of that. We're not capacity constrained. I think we've made tremendous investments, particularly in the last 10 or 15 years to increase our capacity and it's obviously paying off for. So, I think we're in a very unique and a very positive position when the market turns as positive as it is today. From the standpoint of constricting volumes or limiting volumes, whatever you want to call it, we have not had to do that. We have limited some truckload type shipments that we're coming our way more so -- more strong, much stronger back in March than today. But we have had to limit some of those types shipments and keep them out of the truckload. But otherwise we're not capacity constraint. It's full steam ahead where we're trying to hire and add to our workforce to meet those capacity demands. And so far we're having success. I wish it was sometimes it would happen a little bit quicker than it does. But we're in a good position moving forward and all things go.
Jack Atkins: Right, Greg, Adam, thanks for the comments. Appreciate it, guys.
Operator: [Operator Instructions] We'll take our next question. It comes from Amit Mehrotra from Deutsche Bank. Please go ahead.
Amit Mehrotra: Thanks. Congrats, Adam, Greg on a great quarter. If I think about the sequential acceleration in April, just trying to understand if you're seeing that in yields, as well. Or yield holding kind of at these levels, at these high levels, and you're seeing tonnage and shipment growth accelerate? And the reason I just asked this question is I'm trying to understand, when OpEx per shipment has to inflect more meaningfully getting back to closer to that 4% to 5% level, because it's actually been declining over the last couple quarters. Partly, I assume, because of the attribution to growth from yield and pricing. So just talk about yields, where yields are moving prospectively from here? And when you think OpEx per shipment needs to get back higher as shipment growth moves up?
Adam Satterfield: Yes. The yield numbers is similar to conversation we just had about volume. They're going to look a little unusual as well. Last year in April, our average weight per shipment was 1677 pounds.. And we've been trending now around the 1600 pound range. So we're going to see, if things continue a pretty meaningful drop, and that similar to what we experienced in March as well. So you can with a big decrease in the weight per shipment, obviously that has a favorable impact on revenue per hundredweight. And so we've got a big inflection there. Not to mention that last year in April was when the fuel dropped significantly. So we're going to have a bigger contribution from the fuel surcharge as well. You might be looking at and certainly we saw double digit type increase in revenue per hundredweight. And that doesn't tell the story necessarily from a pure yield and revenue per shipment standpoint. And we saw a nice improvement in the first quarter on revenue per shipment. And that benefited from both higher weight per shipment and a higher length of haul as well. And all those metrics go into our yield management process. We've got a process that's focused on individual account profitability, and one that focuses on continuous improvement as well. And I think that our sales team, our pricing teams, they've worked really hard over the last couple of years, to make sure that we're seeing continuous improvement in each of our customers operating ratios. And that's certainly bearing fruit when you look at our numbers and how that may transition into the second quarter as well. So, it's probably going to be more of just looking at that pure number. Look and comparison on a sequential basis from first quarter revenue per hundredweight that I know drive everyone's models in that normal sequential transition from 1Q to 2Q. And if you look at it excluding the field, we were right at $21 on a revenue per hundredweight basis in 1Q. And typically, we see, an average about 1.5% increase from 1Q to 2Q if mix is held constant. So that would suggest another $0.25 to $0.30 sort of sequential increase, if you will, and that revenue per hundredweight metric excluding the fuel. But we're going to continue on with our focus and you asked about OpEx as well. The long term plan has always been to balance our revenue per shipment versus the cost per shipment performance and having a positive delta there to support the ongoing investments and capacity that essentially we're making on behalf of our customers, As well as investments in technology, tools and so forth. It can help us keep our cost structure lower, so that we can improve profit per shipment, without having to rely completely on pricing initiatives. But if we can continue to keep costs in check through productivity, and certainly right now, we're benefiting from the strong top line growth and just the increase in shipment is creating operating leverage that that's benefiting our cost structure there. And, as you mentioned, we did see a decrease in cost per shipment in the first quarter. But we were expecting, like we mentioned at the beginning of this year, core inflation of kind of 4% to 4.5%. We're just benefiting right now significantly from the leverage and productivity, yield performance in our business.
Amit Mehrotra: Yes. And do you guys expect a step -- usually do see a step down in OR from 1Q to 2Q? I assume you'll expect that as well. But first quarter was quite strong as well. And pricing has been strong. So any thoughts around kind of the sequential progression in OR from 1Q to 2Q?
Adam Satterfield: Yes. It's certainly. I mean, that's the quarter where we get the biggest improvement. It's the quarter where we typically see the largest sequential increase in revenue performance as well. Typically, revenue per day is up 10% in the second quarter versus the first. And so, that leverage on existing cost base and so forth creates that opportunity for us. So -- we've -- on any given year, we've increased or improved the operating ratio in a range of 360 to 420 basis points. And certainly, we would expect to get some improvement this year. We've done a good job the last three quarters and have had nice sequential changes that have been kind of what our normal progression is. But now, we're starting to look at the cost that you mentioned that we expect to have some increases in our aggregate overhead costs. We performed very well in the first quarter and had some costs in categories that kind of went well for us. That we'll see if all the stars stay aligned as we transitioned in the second quarter. But certainly, our focus is always to produce as much profitable growth as we can. And we will continue to look at it, leveraging the improvement in our revenue and trying to continue with our productivity initiatives. Some of that, like we saw in the first quarter, where we lost a little productivity on the dock, as we continue to hire new employees and put them into the operation. Certainly, you can start seeing a little bit of headwind on productivity there. But our operation is running extremely smooth right now. And we're going to keep focused on making sure that we're focused mainly on keeping our service metrics best-in-class, secondary focus on productivity. But at the end of the day, we're trying to produce as much profitable growth as we can.
Amit Mehrotra: Yes. Low 70s OR in the second quarter implied by seasonality would be pretty impressive. Thanks so much, guys. Appreciate it. Congrats again.
Operator: Our next question comes from Allison Landry from Credit Suisse. Please go ahead.
Allison Landry: Thanks. Good morning, Greg and Adam. So I just wanted to ask about the length of haul I mean, its been increasing for the last few quarters, and you're now sort of at the longest haul. I think you'd have to go back five years or so. So I'm just curious to understand. And do you think this is mainly a function of cyclicality? Or would you attribute this to some kind of secular shift, maybe e-commerce or something like that? Just trying to understand your view, if you think there's an underlying shift in the market or the freight dynamic?
Greg Gantt: I don't think there's necessarily a big underlying change. The big picture changes that we feel like length of haul will probably shorten and that will continue to see improvement in our regional business. But we still have a very high quality, long haul and medium haul business. And I would say, over the past 12 months, really, since the COVID impact on the mix of our business that we've probably just seen a little bit more market share in with our contractual business, and certainly saw more growth. And for many periods out of the West right now, our growth is very balanced across all of our regions, but a lot of times the freight coming out of the West will have a longer length of haul associated with it. So we've seen tremendous growth there. And that's probably been causing a little uptick. But long term when we think about that continued shift and tailwind that we believe exist with e-commerce freight, we'd expect to see that market share and those regional lanes continue to increase and probably pull the length of haul back down with it.
Allison Landry: Okay. So length of haul comes down and probably over time and then right now just be more mixed driven. Is that the way to characterize it? Is that fair?
Greg Gantt: Exactly.
Allison Landry: Okay. And then just, I mean, on the labor front, obviously, everyone's having challenges as far as hiring drivers and dock workers, warehouse called that. I mean, is it -- are you guys finding it more difficult than you've seen in past cyclical upswing or even tight capacity conditions that where you're sort of falling behind plan in terms of where you want to be for hiring? Or are you guys able to meet that? And maybe if you can speak to just the broader wage inflation and your expectations there? Thank you.
Greg Gantt: Allison, I would say it's definitely a little more difficult than it has been in years past. But we're having success. Like I mentioned earlier, I wish sometimes it would happen a little bit quicker than it does. But we are having success. We're adding where needed. In the locations where we're having job fairs and things like that, run ads or whatever, we're, we're getting a nice response. And again, we're having success meeting our needs. I wish it was a little quicker. We've had a pretty significant uptick in business when -- as Adam mentioned, talking about April 45% to 50% increase, be it we were down last year. Still, that's a pretty significant uptick in business. And the difficulty is meeting the needs as quickly as the business is coming at you. So, I think that's the challenge. But again, I think we're doing well. We just have to stay focused on it and get the folks on board, which I feel confident we'll be able to do. So, I do not think that will limit us going forward.
Adam Satterfield: And on the labor inflation standpoint, we gave our wage increase in September of last year. We would not expect -- or we're seeing the effects of that. And that was part of that overall core inflation of 4% to 4.5%. That was probably, all in 3% to 3.5%. So we're seeing that until September of this coming year on just pure inflation standpoint. But we are continuing to use the purchase transportation, though, and that amount stayed pretty much in the same range as where it was in the fourth quarter. And we talked about, hoping to see that number decline as we progress through the second quarter. And at this point, it's staying at the same level. So we'll keep using that supplement, the workforce until really we're in position to be able to handle anticipated growth with our complete team and everything in sourced where we would like it to be. But that's probably, we expect to still see PTE [ph] decrease on the second half, but just may be a little bit later in the year. But really the goal will be getting the workforce where it needs to be not only for this year, but really just gearing up and preparing for 2022.
Allison Landry: Okay. That's great. That's very helpful. Thank you.
Operator: We'll take the next question. It comes from Chris Wetherbee from Citi. Please go ahead.
Chris Wetherbee: Hey, thanks. Good morning, guys. Maybe just want to pick up on the on the pricing side. Can you talk a little bit sort of contractual pricing renewals. Where that's coming in? I know you guys are making some efforts to keep some of the truckload business out of the network. But obviously, a strong overall freight environment right now. So kind of just curious if you give us a little bit of color, how those numbers are trending?
Greg Gantt: Yes. That was probably long winded in my initial response. But we're coming right in where we would want to be and consistent with how we've trended over many years, because we've had a long term consistent process. And we've averaged an increase in our revenue per shipment of about 4.5%. And that is a target over our cost inflation of 75 to 100 basis points. So, certainly the strong demand when you've got a yield management process that focuses on individual account profitability. In a demand environment like this, we've got to think about opportunity costs with how we allocate capacity. And certainly when you've got accounts that may not be the best performing from an operating ratio standpoint, then we try to work through those as those accounts may be asking for more capacity from us. And so, certainly would try to get a little more in an environment like this when we may not be able to get as much in environments that are a little bit weaker. But core increases are going well. We're seeing good increases as the contracts are coming up. But that's what we shoot for year-in and year-out. We think have a differentiated approach where we tried to be consistent year-in and year-out with our customers and talk about the cost inflation that we're experiencing, and the increases that we need to offset that inflation. But again, also supporting the continuous investment and capacity that we're making on behalf of our customers. So that's all going well, right now, and certainly the environment is very supportive of our pricing initiatives this year.
Chris Wetherbee: Yes. Certainly seems like the case. And then just picking up on what you just mentioned in terms of the capacity additions, and maybe some of the real estate opportunities that you guys are looking at this year. Are those becoming more challenging? Is it difficult to continue to sort of keep that sort of physical footprint capacity growth in line with what you'd want it to be just given obviously, a very strong demand environment that we're seeing, but obviously, sort of tightness in kind of across the base and commercial, industrial real estate. Just kind of curious how you guys are seeing that process playing out? And do you see any maybe potential inflation creeping into those numbers? Or you okay with where you are?
Greg Gantt: Chris, that's a great question. I think if you recall, we've talked a lot about that over the last several years. And it is definitely more difficult and much more challenging today to increase that brand on the real estate side than it used to be. But, we've worked extremely hard at it. We've got a very active real estate department that is searching where we know, we have needs, and we're trying to anticipate our needs as best we can. We're doing that. And we're having some success. And I've mentioned it in the past, there are some parts of the country that are much more difficult than others. And you just have to work harder at it for those places than you do in some of the other middle of the country type more rural areas. So, again, I think we're having the success that we need, be it more difficult, and it's obviously, it's more expensive. Thank you. You heard our numbers. We're talking about the $300 million real estate capital expenditure budget this year. And a lot of that is because of the inflation that we've seen related to real estate. So it's not -- certainly if we were doing this year of what we did maybe 10, 15 years ago, the number wouldn't be anywhere near that. So there's definitely some inflation there. But again, we're having success. I feel good about it. It's just a little more costly than it used to be. And certainly you have to work harder at it.
Chris Wetherbee: Yes. Okay. That's very helpful. I appreciate the time this morning. Thank you.
Operator: Our next question comes from Jon Chappell from Evercore. Please go ahead.
Jon Chappell: Thank you. Good morning. Greg, you'd mentioned I think, an answer to one of the earlier questions about limiting some of the TL business out of your network. And we're certainly seeing a lot of headlines on some traditional TL tonnage going into the LTL. networks. Can you -- is there any way to quantify how much of your tonnage growth has been what you would consider kind of traditional TL? And then also, what's the stickiness of this freight? Is that something that comes on for the time being to the extent that you'll enable it to come on in and you can get a better price for that? Or is that something that you can actually turn on a longer duration, maybe contractual basis to add to your growth?
Greg Gantt: It's not sticky at all, Jon. That business is about a slippery as it gets. It'll move between truckload and LTL depending on the capacity that the truckload market has at the time. So it's very slippery. It comes and goes. And that's why, we certainly don't want to load our network down with truckload type shipments when we certainly feel like we've got obligations to service our normal regular LTL type business. So we will continue to try to manage that as long as we have a need to manage it. So, as far as -- how much that amounts to? I don't know, Adam, you probably got a better feel for that than I do.
Adam Satterfield: Yes. It's been something where a lot of those shipments end up coming through our spot quote network and spot quote type business and other volume shipments. And in the past have been anywhere from 3% to 5% of our revenue. Right now, they're probably only 1% to 2% of revenue. So, we certainly have seen a decrease. Now, with that said, some of those -- some shippers, especially the larger accounts, when our weight per shipment increased last year, they just move heavier type shipments on their contractual rates. So some of that is transparent to us that a customer may have tried to move 6,000 pounds shipment by a truckload, if they could have found a carrier that may have performed a multi stop for them. So, it's not always clear. But what's clear is just us trying to understand all of the freight movement characteristics, the costing for each shipment, and the revenue that we need to have on each shipment that we move.
Jon Chappell: Now, that makes sense. And then as a follow-up and a follow-up to Chris is, in early February, you've mentioned plans to open two to three terminals in 1Q, hopefully, six or so through the rest of the year. And then just given some of those commercial real estate challenges, and Greg, your comment on having to work harder. You get to the point where maybe you look outside of organic growth, and there's kind of inorganic ways to make up for some of that growth at a time when most of your competitors are standing still, if not even contracting?
Greg Gantt: Jon, no, we -- like I said, we're having success in the service centers that we've got planned for this year. They're well underway. They're not at the point where we're trying to find real estate and build. If we've talked about opening four, six or whatever it is, you can be sure those are well underway, or we wouldn't be talking about them. We do have a lot of places that we're still acquiring real estate and making plans and whatnot. But those are well underway. And again, as we talked about before, we feel like there's a lot of growth opportunity left in the -- on the LTL side. And that's what we're trying to do. That's what we've talked about now for years. That's our plan. That's our strategy. And we'll continue to execute on that going forward.
Jon Chappell: Great. Thank you, Greg. Thanks, Adam.
Operator: We'll take the next question. At this time, it comes from Todd Fowler from KeyBanc Capital Markets. Please go ahead.
Todd Fowler: Great. Thanks and good morning. I know you've touched on this kind of a couple different ways throughout the call. But thinking about the weight per shipment right now at around 1600 pounds, it's down from where it was in the second quarter of last year. But it's still above where you had been trending in 2017 and 2018, and even into 2019. So how do we think about kind of your freight basket? Is it kind of back to pre-pandemic levels? Are there still pockets that have customers that haven't come back? Or is there any shifts that are happening within the mix to see the weight per shipment works out right now?
Adam Satterfield: I think that, the 1600 pound range, where we are, I think really reflects the strength of the economy, typically an increase in weight per shipment goes hand in hand with an improving economy. And to think about what I just mentioned, with the decrease in the number of spot quote shipments, oftentimes a spot quote shipments are averaging 8,000 to 10,000 pounds. So when you've got that mix of business that has now shifted into a percentage of business rather than shifted into our 559 tariff base customers and our larger contractual customers, I think it just reflects the underlying demand for our customers businesses. But we've seen really good performance with our smaller accounts. In recent months, our tariff based business is continuing to improve as a result and actually is trending slightly ahead as a percent of overall revenue than where we were pre pandemic. And then our contractual accounts, which performed well for us all last year, continuing to perform strongly as well. And so they actually are, are picking up a little bit more as well. And we're just seeing the higher balance in both of those categories versus that decrease in the mix from the spot quote. So it's good to see across the board, that when we look at our accounts, and think through that the increase in weight per shipment kind of goes hand in hand with the feedback that we're getting from our sales team that our customers businesses are improving. And there's just the increased demand for widgets out there that's creating freight opportunities for us. And certainly, we're taking advantage of that opportunity with our market share improvements.
Todd Fowler: Yes. Okay, Adam. That makes sense. So it sounds like that the mix is normalized. And the change in weight per shipment is more a function of the economy at this point then kind of big shifts in the customer base right now?
Greg Gantt: Yes.
Todd Fowler: Okay. And then just to follow up. Do you care to share kind of any expectations around headcount growth, either sequentially into the second quarter, or kind of what your thought process would be for the full year. I know you shared some expectations in the first quarter, obviously, sounds like you're trying to catch up and ramp up on the headcount side. So if you have any kind of overall numbers, that would be great? And then also thoughts around productivity. I think that historically, maybe it's been six to nine months to get new employees up to a level of efficiency of more experienced hires. Is that kind of the right way we should think about this cycle? Are there any things that would impact that? Thanks.
Greg Gantt: On the average headcount side, in the first quarter, initially, we were up 4.3% versus fourth quarter. And typically, our headcount is pretty flat. So there was a big increase and shift there, and reflect on the success and the programs that Greg mentioned. Our HR team has done a really great job of continuing to bring people on board and get them ready for the acceleration and freight that we typically see through the second and third quarters. An average second quarter headcount is normally up a little over 2% for us. The biggest year we ever had was in 2014, again another strong period. Headcount was up 5%, that year, in the second quarter. And I think we're going to see probably a number more like that. We're still trying to catch the curve, if you will, with the growth that we're seeing. And still having to make use of some purchase transportation is mentioned. So we would expect to see that we're on the high end of that scale, and possibly even exceeding that, on that 5% metric in terms of the sequential change from first quarter, second quarter. And the productivity that you mentioned, like we mentioned, our prepared remarks, especially on the dock, it's pretty typical to see a loss of productivity. But it's certainly more important to make sure that the team is they come in new, they're learning, they learn our ways for claims prevention. They're following our safety protocols and so forth. And, and we're trying to maximize the loads that we're moving our line-haul costs, they're the biggest cost element that we face. So we've got to make sure that that we're properly loading these trailers to maximize the overall efficiency of the operation. And so certainly, that's something that we'll continue to experience is we're increasing headcount. But when we've got the top line revenue growth, that gives us a little covered offset, maybe some of this higher cost inflation that we're seeing.
Todd Fowler: Yes, understood. Thanks for the time this morning, guys.
Operator: We'll pick the next question. At this time. It comes from Ari Rosa from Bank of America. Please go ahead.
Ari Rosa: Hi. Good morning, Greg, and Adam. Nice quarter. So, for my first question, I wanted to ask about salaries and benefits line. It was the best quarter as a percent of revenue that it's been in a number of years as far as I can tell. And I know last year, you had some special bonus payments, that it sounds like probably won't be recurring this year. And if I look at average salaries and benefits expense per employee, it took a step down sequentially. And I assume that's related to some new hiring, which presumably is coming in at slightly lower wages. So I guess my question is, when I think about comp per employee, can it stay in this range sequentially? Or does it take a little bit of a step up, given some of the wage inflation pressures that we're seeing and some of the challenges that other LTL carriers have spoken about with regard to hiring?
Greg Gantt: I think going back to just pure comp per employee, again, we gave the wage increase last year of between 3% to 3.5%. I think that when you start looking at things on a year-over-year basis, all of the comparisons in the second quarter are going to be pretty unusual. But we're going to have higher costs related to group health and dental benefits. I think that we'll see our benefit cost per employee, some acceleration there. As we progress, we have pretty good performance. So those fringe benefit cost as a percent of normal salaries and wages in the first quarter were 33%, 33.2%. And so, that was good performance. We were anticipating somewhere more like 34% for this year, 34% to 34.5% was kind of my initial forecast. And so, saw good performance there. I think that possible that we'll continue to see some inflation there. The other factor is, we're certainly seeing inflation, when it comes to the performance based compensation that we have. With our improving financial results, we're going to see increases there as well. And that's something that really gets back to when we talk about our focus for hiring people. It all starts with our company culture and the family spirit that we have. That certainly has made it easier to both attract and retain employees. But the connection to the financial performance, and that direct link of the engagement of employees with connecting the company's financial success to their personal success through improved wages and benefits and contributions into our 401-K retirement program. Those are all things that helped keep driving the performance of the company. So those will continue to increase as the financial performance, both revenue and income are increasing as well. But I think we're in a great spot. And to keep getting some leverage. If we see that salary, wages and benefits line, there should be some natural inflation there too, is we in-source, and reduce our reliance on purchase transportation. So there shouldn't be some corresponding decreases once we kind of catch back up to the curve there. So multiple factors that's going to be driving that number for us.
Ari Rosa: Got it. Understood. That's very helpful. And then just my second question, you'd mentioned this -- that'll give 25% available capacity. Obviously, that implies a lot of room to grow. And as I think about the step up and CapEx that's expected. Kind of maybe if you can help contextualize what that 25% available capacity means, in terms of your ability to grow sequentially from these levels? I think a lot of transport companies spoke about first quarter being a little bit challenging given weather related obstacles to moving freight. As we think about -- forget the year over year comparisons, but just sequentially from here. How much room is there to kind of outgrow what the normal sequential pattern has been?
Greg Gantt: That 25% reflects the door capacity that we have in our network. In an LTL network, it's the doors that is required to process freight. And it's obviously very critical and a long term investment and a long time to expand capacity, as we've discussed earlier on the call. So, that's something that we always have to stay focused on. And we feel like far ahead of our growth curve to make sure the network is never a limiting factor to us. But that's one of three key elements of capacity within LTL. Next would be on the fleet side. And I feel like we're in a really good spot, based on where our fleet is and the ability to handle the freight that we have today, as well as the ongoing increases that we would be anticipating this year. In coordination with the $290 million CapEx spend that we have planned for equipment this year. So I feel like our fleets in a really good spot. And obviously, you don't want to carry that much excess capacity like we do on the service center network side in your fleet, there's higher deer depreciation per unit cost there. You want to have enough to be able to handle the peaks at the end of the month and the end of quarters and to be able to accommodate growth. But you don't maintain that same excessive level. And then finally, and most importantly, is the people capacity. And certainly, that's something that we manage more in relation with revenue and volume trends. And it's something that we're constantly balancing here. And the lever we pull, like we're pulling right now, when we're a little short is we make use of purchase transportation. And we'll continue to do that until we complete the additions to the team that just sort of catch up with the freight volumes that we're currently experiencing. So, we're in a good spot across the board. And I think we've got a good plan, a very detailed plan and is different by service center and by region for how we're continuing to add drivers and platform employees to the team to continue to handle the accelerating volumes that we're seeing.
Ari Rosa: Okay, understood. Thanks for the time.
Operator: We'll take the next question. Now, it comes from Scott Group from Wolfe Research. Please go ahead.
Scott Group: Hey, thanks. Morning, guys. Adam, can you just talk about the impact of higher fuel and what it means for top line, bottom line incremental margin this year?
Adam Satterfield: Well, obviously, from a top line basis, it's finally going to be turning for us, in the sense of for most of last year we faced the headwind with fuel prices being down in March. It turned if you will. And at this point, we're looking at fuel prices that are about 25% or so higher than where they were in April of last year. So that'll be a good thing from a top line standpoint for us. From a bottom line standpoint, much like we talked about last year, we tried to have our fuel scales, both for our own internal scale, as well as the scales that many of our larger contractual accounts have within their contracts to be somewhat neutral, whether fuel is going up or down, and we stress test those. But we didn't really talk too much about it. Last year, we felt -- when it was decreasing, we felt like, we would minimize the effect on the bottom line, based on the lower end of the fuel scales. And certainly now that it's showing a year over year increase, we'd hope to minimize the effect on the bottom line as well. But just keep managing through that on a customer by customer basis. And looking at what the revenue inputs are, and the cost inputs are to maximize profitability.
Scott Group: Okay. And then just a longer term question. What if anything, are you guys doing as relates to electric and autonomous trucks? Do you see any use cases for either over the next five years or so?
Greg Gantt: Yes. Sure, Scott. We were actually in the process of making a couple purchases to do some testing. We still from everything we see and hear that technology is not where it needs to be to help us at this point, but we are wanting to test some electric vehicles. Be it switchers, be it trucks or -- and/or forklifts. So that's in the process as we speak. But, again, I don't see any impact of that in the near future.
Scott Group: And autonomous?
Greg Gantt: Any impact I'm saying from electric. Yes. On the electric side, right?
Adam Satterfield: Yes. On the autonomous piece, that's something that we feel like that technology is continuing to develop, and we'll continue to look at things. From a regulatory standpoint. I don't know that we ever, it's hard to envision seeing the driverless vehicle on the road, sharing the roadways with passenger autos. But we think that as the technology improves, that it will continue to drive improvements in safety. And certainly could drive some incremental benefit as well. But the technology may get there before it's really allowed from a regulatory standpoint. But something that we'll continue to watch. And obviously is, I think we've got one of the youngest fleets in the industry and are investing year in and year out, we always want to look at whatever safety or efficiency tools are available to us. And we've got the financial strength and ability to invest as those become available, and we feel like are practical to implement within our operation and certainly would be on board with taking advantage of whatever opportunities the manufacturers can come up with.
Scott Group: Thank you guys.
Operator: The next question comes from Tom Wadewitz from UBS. Please go ahead.
Tom Wadewitz: Yes, good morning. So I have two questions for you. One, you commented about the very strong, I think is that, I don't know 45%, 50% revenue per day growth in April. Are the comps much different in May, in June? Or do you think that commentary on April kind of could be representative of the quarter?
Greg Gantt: April, was definitely the worst period that we experienced last year. That was the biggest drop that was just like freight and revenue levels fell off a cliff. And once things reset, we had pretty good recovery and sequentially increases for the most part that point forward. But from a revenue trend standpoint, in April, we were down 19.3% on a per day basis, like I mentioned in May, we were down -- May of 2020, we were down 16.2%. In June of 2020, we were down 11.5%. So each month, the change -- I guess the comp gets a little more difficult, but just reflects sequential improvements that we saw. Overall revenue for the quarter was down 15.5% second quarter of 2020.
Tom Wadewitz: Okay. That's good. That's helpful. Thank you. Greg, if I look back at periods when you've had kind of peak as tonnage growth, it seems like you've gotten a couple times up to maybe 15% year over year tonnage growth. Is that possible you achieve that this year? I mean, you've got obviously a super easy compare in second quarter. And then you talk about the 25% door capacity. But obviously, you got the other two elements that Adam highlighted. So, is it feasible to get to a mid teens type of tons growth this year? Or is it hard to achieve for people or trucks or whatever?
Greg Gantt: 15% tonnage, Tom, that's pretty steep. I'm not sure I recall those days. Maybe my memory seems. But we had 15 in 2018. But anyway, that's a pretty steep. We'll see it obviously, in the second quarter when we were so far back in 2020. But I'm not sure once we get back to normal type comparisons, we're going to see that kind of growth, that's probably a stretch. And to be clear, on that percent capacity, that's not a year over year growth. I mean, that's, that's capacity from the freight levels that we're handling here in March in the first quarter. Incremental growth on top of that, while we're also continuing to expand every day.
Tom Wadewitz: When you say that's hard to achieve, I think you did it in 2014, and 2018, you're probably close in 10 and 11. Is it just people, Greg, or what's the reason that that you couldn't do or it'd be tough to do 15%?
Greg Gantt: It's hard to ramp up, Tom at that pace. I mean, obviously, if we knew we were anticipating that. If that was realistic, then it would certainly be more realistic, but I'm not sure, we'll see that those type numbers. I'm not sure the economy's quite that strong. While things are certainly good and positive. That 15% is a bit over where we are today.  Got to remember right, we just came off the rim. I just wanted to mention, reiterate, we came off the highest revenue quarter we've ever had in the first quarter. So you're talking about big numbers, bigger numbers on top of big numbers, if you will. And he's in obviously ignoring the year over year column. That's much easier Again, second quarter, we'll have some impressive numbers. I would certainly expect. But we get in the, like I say, more normal comparisons. I don't think we'll see that. The first and fourth quarters are more normalized versus the middle part of the year, where we've got some easier comps.
Tom Wadewitz: Okay, great. That's helpful. Congratulations on the great quarter.
Greg Gantt: Thanks, Tom.
Operator: We'll take the next question that comes from Jordan Alliger from Goldman Sachs. Please go ahead.
Jordan Alliger: Alright. Yes. Just sort of big picture question. With all the strength in LTL, as you mentioned, obviously pricings freight demand is extremely strong. Given what you're doing from a capacity standpoint, or with your cap spending. I mean, is there some concern, or is there some -- I mean, you see the industry trying to add capacity broadly, it not just the potential public guys, but sort of, maybe, the private LTL players too? Is there a broad scramble to increase industry capacity right now?
Greg Gantt: I don't know that we've seen that. Jordan, I don't know that we've seen that at all. I expect some of them are trying to do something. But we haven't seen a whole lot of movement for the most part. We see -- every now and again, you'll see some carriers adding a terminal here and there. But like I mentioned earlier, when we look over a longer period of time, the reality is, there's been more of a decrease in the number of service centers in operation around the country versus we obviously have been focused on increasing. And we're doing that because of the market share opportunities that we continue to believe that are out there. And certainly we're positioned better than anyone with the service levels that we offer, the total value proposition. And we feel like that in this environment, more shippers are focusing on value, that's certainly what we sail. And there is a value to Old Dominion services, as well as the capacity. Our customers right now are certainly benefiting from the fact that we've made all of these capacity investments and they've got contracts in place with us. And we certainly can continue to handle increased levels of business with them. And we're getting the feedback from customers that many of our competitors are not able to handle some of the acceleration that they're seeing in their business. So that, too, is we have seen in the first quarter. And that's continuing where that capacity advantages is certainly driving freight our way. So anecdotally, feedback that we're getting from customers as well as just what we see in terms of total service centers and operation, on average, they are down. And we are benefiting from that at a time when we think the industry continues to have tailwinds. And that's just creating more and more opportunity for Old Dominion.
Jordan Alliger: Thank you.
Operator: Our next question comes from Ravi Shanker from Morgan Stanley. Please go ahead.
Ravi Shanker: Thanks. Once again, Greg, your initial comments on market share, I don't think I've heard you sound as explicit or as aggressive on the share gain opportunity as you did, which is obviously great to hear. But can you just kind of unpack that a little bit. Is that something to do with the kind of structural changes in the industry you seen in the last couple of quarters? Do you feel like some of your competitors are more vulnerable? Is it a function of the cycle where it is? Is it some kind of internal change and go-to-market strategy or messaging? Kind of what drove that?
Greg Gantt: I don't think it's a change in strategy at all. Its this the strategy we've been talking about for a long time. And like I've mentioned before, and we've talked about over the years, we will grow more when the economy is strong. And when our competitors capacity is as limited as it appears to be, then the customers come to us. And that's what we've seen happening in recent months. And I expect that we will certainly have much stronger growth than most all of our competitors. So, we're waiting to see, but it's not any anything that we've done, the change. Is just the continued execution of the strategy that we set forth back some years ago. And like I said, before, we're executing and having success doing so. I feel good about where we are and the things that we've done. And now its the time when it starts to pay off for us. Yes. Pretty positive from that standpoint, for sure.
Ravi Shanker: Understood. And if I can follow up on the on the labor question, which you hit a few times. And I think you even hit the autonomous truck question ones, but if I can just keep on that topic. What's the opportunity for automation on some of the other kind of labor parts of the business kind of on the dock and the terminal side, rather than the autonomous driving side, which I think it should be here in rightly shorter?
Greg Gantt: I assume you're talking about robots and that kind of thing?
Ravi Shanker: Yes. I'm saying, have you done any studies? Or is there any opportunity at all to increase kind of automation on yes, things like robotic, forklifts or things like that, that can help you load the trucks and reduce the need for labor intensity there?
Greg Gantt: Not that we've seen. Not at this point in time.
Ravi Shanker: Okay. Got it. Thank you
Operator: There are no more questions in the queue. And I'd like to turn it back over to you for any closing remarks.
Greg Gantt: Thank you. Thank you all for your participation today. We appreciate your questions. Please feel free to give us a call if you have anything further. Thank you and have a great day.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.